Operator: Ladies and gentlemen, thank you for standing by. Welcome to the McGrath RentCorp Fourth Quarter 2025 Earnings Call. [Operator Instructions] This conference call is being recorded today, Wednesday, February 25, 2026. Before we begin, note that the matters the company management will be discussing today that are not statements of historical facts or forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, including statements relating to the company's expectations, strategies, prospects, backlog or targets. These forward-looking statements are not guarantees of future performance and involve significant risks and uncertainties that could cause our actual results to differ materially from those projected. Important factors that could cause actual results to differ materially from the company's expectations are disclosed under Risk Factors in the company's Form K and other SEC filings. Forward-looking statements are made only as of the date hereof. Except as otherwise required by law, we assume no obligation to update any forward-looking statements. In addition to the press release issued today, the company also filed with the SEC earnings release form on Form 8-K and its Form 10-K in the year ended December 31, 2025. Speaking today will be Joe Hanna, Chief Executive Officer; Phil Hawkins, Chief Operating Officer; and Keith Pratt, Chief Financial Officer. I will now turn the call over to Mr. Hanna. Go ahead, sir.
Joseph Hanna: Thank you, Stephanie, and good afternoon, everyone. We appreciate you joining us for McGrath RentCorp's Fourth Quarter and Full Year 2025 Earnings Call. This is a particularly meaningful call for me personally. It will be my final earnings call as CEO of McGrath. As many of you saw in our February 5 press release, I will retire as CEO effective April 3, but remain a Director on the McGrath Board. I want to start by expressing my deep gratitude to our customers, our team members, our Board and our shareholders. It's been an honor to lead this organization. I'm very proud of our company culture, our reputation with customers and the growth we have realized over the past 9 years. Our Board invested considerable time developing a thoughtful CEO succession plan and is confident that Phil Hawkins is the best leader to succeed me, given his industry stature and experience at McGrath since 2004, most recently as Chief Operating Officer. Phil is a seasoned industry professional who embodies the core values of our company, and his experience will enable him to continue the execution of the company's strategy and maintain its positive growth trajectory. I've had the pleasure of working with Phil for over 20 years, and I could not be happier to have Phil succeed me as CEO. For today's call, I will cover our fourth quarter and full year 2025 results. Phil will then provide comments on our business outlook and plans for 2026. Keith will share the financial details including our financial outlook for 2026. And then we'll open the call for questions. I should also highlight that our Board of Directors today announced our company's quarterly cash dividend for the quarter ending March 31, 2026. This will be McGrath's 35th consecutive annual dividend increase. Now for the fourth quarter 2025 total company revenues rose 5%, driven by rental operations revenue growth across all 3 of our rental businesses. Adjusted EBITDA increased 14% from a year ago. I am pleased with this performance, which was driven by strong results at Mobile Modular and TRS-RenTelco. Across the company, our rental businesses performed well in a mixed demand environment. At Mobile Modular, activity was steady, portable storage showed continued stabilization and TRS maintained the healthy momentum we saw throughout the year. Looking first at our Mobile Modular business. Rental revenues increased 2%. Our Mobile Modular Plus offerings and our geographic expansion efforts gave us opportunities to grow in a slow nonresidential construction market. We continue to benefit from the shift in demand towards mega projects, which helped to offset lower demand across other nonresidential construction categories. Sales of new modular units were down in the fourth quarter and for the full year as a challenging nonresidential construction market presented fewer opportunities. In contrast, our Enviroplex business had a very strong fourth quarter and full year with healthy education demand, growing revenues with high gross margins. Turning to Portable Storage. We continue to realize gradual top line improvement, while broader commercial construction remain soft. We benefited from seasonal retail business and geographic expansion progress. In the quarter, rental revenues increased 3% year-over-year. Finally, TRS-RenTelco, rental revenue grew by an impressive 13% in the fourth quarter. This business completed a notable year of recovery ending with sustained utilization in the low to mid-60s and healthy demand across both general purpose and communications segments. As I reflect on 2025, our company had a strong fourth quarter, which played an important role in delivering a solid full year result in a mixed environment. Over the course of 2025, weakness in nonresidential construction created headwinds for the company but our strategic initiatives made a positive contribution and helped offset those pressures as well as the performance at TRS and Enviroplex, which bolstered our overall results. I want to thank each of our team members for your accomplishments and steadfast commitment to delivering the highest quality service to our customers. Our culture at McGrath is a driving force behind our growth, and it shines through in every customer interaction. Phil, over to you to comment on our business outlook and our 2026 plans.
Philip Hawkins: Thank you, Joe, and good afternoon, everyone. I appreciate the opportunity to join the call today and to share more perspective on the business. I'd like to start by saying McGrath has been my home for more than 20 years, and I've had the opportunity to work across nearly every part of the organization. I worked closely with both Joe and Keith with a shared focus on disciplined execution and building long-term shareholder value. Joe is behind an impressive legacy of leadership and service commitment that he is thoroughly ingrained throughout our company. It is a great honor to succeed Joe as CEO and to continue leading our capable team. As CEO, I look forward to building upon that foundation, continuing to strengthen our market positions and leading McGrath to capture long-term opportunities that lie ahead of us while delivering value for our shareholders. Now let's look at the year ahead. The key drivers of our performance in 2026 will be continued progress from our modular growth initiatives and building on the market recovery at TRS. I'll discuss those further after I outlined the overall demand environment for our businesses. In the modulars business, uncertain market conditions persist, nonresidential construction indicators such as the Architectural Billings Index, or ABI, remains soft. While we do not expect meaningful improvement in the environment this year, we have proven our ability to grow in these conditions. At Mobile Modular, we started 2026 with lower utilization but with some solid momentum driven by the ongoing success of our services and geographic expansion initiatives. In our commercial business, mega projects, such as large industrial projects, data centers and government work remain active. Our fleet size and modification capabilities provide a competitive advantage in these opportunities and these strengths are helping our pipeline and bookings. In education, we expect a stable market this year. Overall, our education markets and modernization backlogs are healthy. The modular business remains our largest long-term growth opportunity. Turning to portable storage. We remain hopeful that the market demand has stabilized. While industry utilization remains low, our order activity has shown some positive momentum and we are starting 2026 with a slightly higher rental revenue run rate than at the beginning of 2025. At the same time, profitability remains a key challenge in this highly competitive market. We are laser-focused on improving sales effectiveness to get more units out on rent while protecting margin. We will continue to invest in growing our presence in existing markets, expanding into new locations aligned with demand and pursuing tuck-in acquisitions that support our growth. TRS is entering 2026 with good momentum. We see continued strength in aerospace and defense, data centers and semiconductor segments. Our 2026 performance will be accomplished through a strong leadership team with deep technical expertise and the ability to deploy capital effectively. In summary, across McGrath, we are entering 2026 in a healthy position. We are confident our strategy is sound, and we have the right team to execute. With that, I will turn the call over to Keith, who will take you through the financial details of the quarter and our outlook for 2026.
Keith E. Pratt: Thank you, Phil, and good afternoon, everyone. Before I give the financial details and outlook for 2026, I want to recognize Joe for his leadership and many years of service to McGrath. Joe has played a critical role in shaping the company's strategy, driving results and positioning the business for long-term success. I also want to congratulate Phil on his well-deserved appointment to CEO. Phil and I have worked closely together. He brings deep strategic, operational and financial knowledge of the business, and I'm confident he will provide strong leadership as we continue to execute our strategy. So now on to the financial highlights. As Joe mentioned, we delivered strong results in the fourth quarter, driven by increased revenue across each of our businesses and the strong adjusted EBITDA performance at Mobile Modular and TRS-RenTelco. Looking at the overall corporate results for the fourth quarter. Total revenues increased 5% to $257 million with rental operations increasing 6% and sales revenues increasing 5% during the quarter. Adjusted EBITDA increased 14% to $105 million. Reviewing Mobile Modular's operating performance as compared to the fourth quarter of 2024, Mobile Modular had a good quarter, with adjusted EBITDA increasing 13% and to $68.7 million. Total revenues increased 2% to $175.8 million. The business saw a 2% higher rental revenue and 10% higher rental-related services revenues, primarily due to higher site-related services projects, which were partially offset by 1% lower sales revenues. Total gross profit grew 9% for the quarter, driven by a higher mix of used equipment sales, which have higher margins than new sales. Rental-related services also delivered growth and at higher margins than a year ago. Average fleet utilization was 71.3% compared to 76% a year earlier. Consistent with the challenging demand environment experienced throughout the year, fourth quarter returns of rental units were higher than new shipments. Fourth quarter monthly revenue per unit on rent increased 6% year-over-year to $874. For new shipments over the last 12 months, the average monthly revenue per unit decreased 3% to $1,169. We continue to make progress with our modular services offerings. Mobile Modular Plus revenues increased to $10.5 million from $8.4 million a year earlier, and site-related services increased to $10 million, up from $6.9 million. Overall, Mobile Modular had a good quarter as we continue to make progress with our modular solutions growth strategy. Turning to the review of Portable Storage. Adjusted EBITDA for portable storage was $9.6 million, a decrease of 3% compared to the prior year partly driven by lower margin on our delivery and pickup services and reflecting a very competitive market. Rental revenues for the quarter increased 3% to $17.3 million benefiting from some incremental seasonal retail business, while commercial construction activity remains soft. Average utilization for the quarter was 61.2%, which was comparable to a year ago. Quarterly utilization was relatively steady throughout the year and provided an indication that demand conditions are showing signs of stabilization. Turning now to the review of TRS-RenTelco. Adjusted EBITDA was $23.1 million, an increase of 21% compared to last year. TRS had another strong quarter with total revenues up 19% to $40.6 million, driven by higher rental and sales revenues. Rental revenues increased 13% to $28.7 million as the industry continued to experience improved demand conditions. Demand was robust throughout the quarter with a modest seasonal slowdown at year-end. Average utilization for the quarter was 64.5%, up from 59.1% a year ago and rental margins improved to 44% from 40% a year ago. Sales revenues were notably strong in the quarter, increasing 42% to $10.3 million and with gross margins at 64% compared to 58% a year ago. The remainder of my comments will be on a total company basis. Fourth quarter selling and administrative expenses increased $2.7 million to $54.4 million. Interest expense was $6.5 million, a decrease of $2.4 million as the result of the lower average interest rates and lower average debt levels during the quarter. The fourth quarter provision for income taxes was based on an effective tax rate of 26.4%, compared to 25% a year earlier. Turning to our full year cash flows -- cash flow highlights. Net cash provided by operating activities was $256 million compared to $374 million in the prior year. The decrease was primarily attributed to the absence of the nonrecurring $180 million merger termination payment received from WillScot in 2024, net of $63 million McGrath merger costs. Rental equipment purchases were $143 million compared to $191 million in the prior year. In addition, to investments in new fleet, healthy cash generation allowed us to pay $48 million in shareholder dividends. At quarter end, we had net borrowings of $515 million, and the ratio of funded debt to the last 12 months actual adjusted EBITDA was 1.42:1. Finally, our 2026 financial outlook. For the full year, we currently expect total revenue between $945 million and $995 million. Adjusted EBITDA between $360 million and $378 million, gross rental equipment capital expenditures between $180 million and $200 million. Our current outlook for each of our businesses is as follows: We continue to see solid opportunities at Mobile Modular, where we have multiple growth initiatives in progress and we expect this business to grow adjusted EBITDA in 2026. Given current utilization levels, we have equipment available to meet demand in most established markets. We expect to spend approximately $5 million to $8 million higher operating expenses in 2026, preparing available fleet to meet customer orders. Last year, we increased the size of our sales team to broaden our geographic coverage. And as we enter 2026, we see good momentum in several new regional markets where we will invest capital in new rental equipment to support demand. At Portable Storage, we see some signs of more stable demand in a very competitive environment. Until utilization improves, we expect it will be challenging to grow adjusted EBITDA and 2026 performance is expected to be comparable to 2025. At TRS, market conditions improved last year, and we expect to see more growth in 2026. As a result, TRS should contribute higher adjusted EBITDA again this year. Given recent high utilization levels and our growth outlook for the business, we expect to increase capital investment in TRS in 2026. Our Enviroplex business, which sells new modular classroom units had a very strong 2025 with strong revenue growth and higher gross margins than a year earlier. For 2026, we expect revenues, margins and adjusted EBITDA to be in a more normalized level and closer to 2024 levels. Our 2026 outlook also includes the following expectations for the company: Rental equipment depreciation expense of $85 million to $89 million; direct cost of rental operations of $122 million to $126 million; SG&A expense of $225 million to $229 million; and interest expense of approximately $26 million to $29 million. In summary, we remain committed to building long-term shareholder value through sound, strategic focus disciplined capital application and consistent execution. I will now turn the call over to Joe.
Joseph Hanna: Thank you, Keith. Before we open the call for questions, this company has been a major part of my life for 22 years, and I'm incredibly proud of what we've built together. I'm excited about where McGrath is headed. We have the right strategy, the right teams and the right leadership. I would like to specifically call out the executive team and thank them for their support during my tenure. To our team members, thank you for your dedication. To our customers, thank you for your trust. To our shareholders, thank you for your investment in our company. Stephanie, you may now open the lines for questions.
Operator: [Operator Instructions] We'll take our first question from Scott Schneeberger with Oppenheimer.
Daniel Hultberg: It's Daniel on for Scott. First off, congrats to Joe and Phil and best of luck going forward to both of you. Jumping into the questions. Historically, you guys have guided the initial guide pretty conservatively out of the gate. How do you see the drivers this year that could potentially take you above that guidance range?
Keith E. Pratt: Daniel, it's Keith. Let me make a couple of comments. I think the first thing is it's always hard to develop the financial outlook. And I always, at this time of the year, reflected a couple of things. First of all, the calendar. It's still very early in the year. And if you look at our business, typically, the second half of the year is the biggest contributor to our financial performance. So we really have to be humble at the start and say there's a lot we don't know, especially about the second half. I think right now, in particular, the macro presents some challenges. We've talked at length about the nonres construction market, some of the challenges there. We're not assuming a change in those conditions this year. And obviously, I outlined looking across our businesses, there's a little bit of a different outlook in the context for each business. If you look at what things can present upside in our year, it's really looking at each of the businesses and each of the initiatives we have underway and saying we do more, we made greater progress than is reflected in the initial guide, that's not an easy thing to do. Our team did a phenomenal job last year, particularly right through the fourth quarter. But that gives you some context. We have a lot to work with. It's early in the year. We are clear on strategy, and we have a team that knows how to execute but it's still not an easy environment. One other thing I will say, when you look at the revenue range being quite wide, what would push you to the upper end, it's really the sales activity in our Mobile Modular business. That's an area where if you look at the details of last year, we actually took a step back we didn't sell as much on the new equipment side, even though our used equipment sales were up a bit. But if we look at that part of the business, we have a good team. We have a lot of good opportunities we see in the market. We think it's a great long-term opportunity. But it's very hard to predict exactly where that can land. So we're assuming some growth there. If we do well, it could be pushing us more towards the upper end. On the other hand, if it's a difficult year, it could push us lower within our range from a revenue point of view.
Daniel Hultberg: Got it. That's a helpful overview. Switching gears to your initiatives in Mobile Modular. We saw a real nice acceleration in the growth there for both Mobile Modular Plus and Site Related Services, I mean, despite being in a pretty tough environment now, could you speak to the accelerated momentum you've seen for those offerings?
Philip Hawkins: Thanks. This is Phil. We're happy with the progress we're making in capturing additional profitability on every project with these service offerings. Our product and service offerings come with the building, that's Mobile Modular Plus and our construction services outside the building. Site Related Services continue to grow at double-digit rates. We have several customers, many customers that see value in having one provider provide those activities while our units are on the job site and before units get there.
Daniel Hultberg: Got it. And switching to TRS. Rental revenue growth really accelerated nicely in the quarter. Could you please elaborate on what drove that acceleration? And what type of visibility do you have to sustain this momentum into '26?
Joseph Hanna: Sure. We were very happy with how TRS performed. We are -- we actually -- you know there's 2 different components to the rental business there. One is our general purpose fleet and the other is our communications fleet. The general purpose fleet saw growth in aerospace and defense and semiconductor business, which is just a recovery of more projects that we're seeing in that customer base. And then over on the communications fleet, we're seeing a nice demand from data centers. And if you think about a data center, all the different connections the testing that has to be done, it's very intensive and requires considerable amounts of test equipment to get those facilities up and running. And so we're the company that people go to when they need that equipment and it worked out very nicely for us during the year and especially in Q4.
Keith E. Pratt: Yes. One thing I'd add is in that business, we typically see some slowdown in activity as we get to the period from Thanksgiving to year-end. And this year, business remains strong with really very little drop-off in activity through December 31. There was a little bit of a dip right at the end but I would characterize that as a very healthy, very consistent fourth quarter and finish to the year. And a good example of where things really broke in our favor in that business for the final quarter of the year.
Operator: We'll take our next question from Manav Patnaik with Barclays.
John Ronan Kennedy: This is Ronan and Kennedy on for Manav. Congratulations to both Joe and Phil. The CEO transition, it sounds like it was thoughtful, should be smooth to seamless. Phil, you spoke of strategic continuity and continued disciplined execution. Are there any areas, whether it's portfolio management or mix, M&A appetite, capital returns where your approach may differ even if subtly for Joe's once you step into the CEO role?
Philip Hawkins: Thanks, Ronan. I think Joe, Keith and I have worked closely together along with other members of our leadership team to craft our current strategy and refresh that over the last several years. And those strategic initiatives are in progress. We're happy with the products we're making, and I don't expect any near-term changes.
John Ronan Kennedy: Got it. And beyond the performance of TRS and Enviroplex, total company basis [ 425, ] which specific strategic initiatives were most impactful in offsetting the nonresi headwinds and which do you anticipate will be most impactful for '26?
Philip Hawkins: I would say geographic expansion, the additional salespeople, we added into the market in 2025 that we talked about on prior calls, momentum we have in those markets coming into 2026 or one of the biggest drivers in offsetting the impact that we're seeing to some of the more challenged areas of the commercial market.
John Ronan Kennedy: Appreciate it. And then with the Mobile Modular starting 26% lower utilization, but guiding to the adjusted EBITDA growth, even with higher operating expenses and CapEx repair fleet. Can you walk us through the bridge on that? And what the key drivers are there, whether it's pricing, utilization, the Mobile Modular, Site Related Mix or and from take standpoint cost absorption? And then what's the incremental margin on the Mobile Modular Plus and Site Services versus base rental?
Keith E. Pratt: Yes. A lot to unpack there. What I would say, Ronan, is, and Phil alluded to we've got several initiatives in play that we feel good about. So as always, there's a range of possible outcomes here. We'll be working to try and make the most of each of those initiative areas. I think the geographic expansion is important to call out. We stacked up over 25%. We feel good about the traction we're getting in the market. We'll put new capital to work because a lot of that geographic coverage is in areas where the -- we do not either have equipment in the market or we don't have the right kind of equipment available in our fleet. In terms of margin impact, I wouldn't see margin impact being dramatically different within the individual revenue streams, so areas like Mobile Modular Plus, areas like Site Related Services, I would look at what we've done historically and said, margins are probably going to stay pretty consistent. Probably the biggest wildcard is the sales piece of the business. You saw in the fourth quarter -- even though sales were down a bit for Mobile Modular, we actually increased our gross profit contribution from sales, and that was the impact of a higher mix of used sales. So when we turn that and look into '26, again, there's a range of possibilities here. We put our best estimates on the table but we look a lot around sensitivities. So that area a little bit hard to tell but I think we have a realistic midpoint in our range that reflects some continued progress with sales at Mobile Modular, probably not as heavy weighting towards the used sales more on the new, and that can be slightly detrimental from a margin point of view. So let us know if you like more color? I know you touched on a lot of individual topics there.
John Ronan Kennedy: No, that's great. And then ask on the monthly revenue per unit, I think you rose 6% year-over-year, while new shipment revenue per unit fell 3%. Could you talk about the drivers there, whether it's mix drive pricing, customer-driven and potential implications for the portfolio and future economics as the portfolio churns.
Keith E. Pratt: Sure. I'd probably start with the 6% increase in the revenue per unit on rent. So that's really looking at all of our assets that are held by customers and are at work, so to speak. That is really the key metric. And you see that 6% lift is very good in this environment. We're very pleased with that. The offset was fewer units being on rent, and that netted out to about 2% rental growth for the quarter. In terms of new activations, based on an LTM look at new shipments, the number there was down by 3%. So it was down from $1,203 to $1,169. I think there's a few things going on there. First, we are within those numbers. We are making progress with MM Plus. If we look at the base rent, that is actually lower and that's for a couple of reasons. The primary reason is mix related when we look at the types of units, the regions they're in, the contracts they're on, mix plays a big factor there in making the base rent lower but in addition, we're also seeing parts of the market for modulars are very competitive. Others are more stable but there's definitely a lot of competition in the marketplace. So that's how I would sort of summarize what we're seeing. I think when we look at the economic opportunity, there's still a significant gap between the revenue we're getting for units in our fleet today and where we're executing new shipments. That combination of discipline on base unit pricing, good progress with services. There's still an opportunity over time to raise that fleet rate by as much as 33%.
Operator: We'll take our next question from Daniel Moore with CJS Securities.
Dan Moore: Joe, congratulations going out on a strong note, so to speak. And Phil, congratulations to you. I look forward to working more closely going forward. CapEx or purchases of new rental equipment, you touched on several times, tick higher in Q4 as well as our guide for 26. Is that primarily kind of expanding into new geographies? And just talk about the confidence that you have to turn on the CapEx to get a little bit more required more rental equipment in this environment?
Philip Hawkins: Dan, this is Phil. The primary driver of that higher CapEx on the modular side of the business is definitely geographic expansion, where we're growing our fleet in a newer market. There are some product areas of our portfolio in mature markets where we'd also be adding and then TRS, the health of the TRS business is another place where the CapEx will be likely higher than it was a year ago.
Keith E. Pratt: Yes. And Dan, always good to look at history when you look at that number, it really takes us back to a level similar to what we spent in 2024. It's still lower than what we spent in 2023. And one other comment I will make is that the portion of additional spend, it also includes maintenance CapEx on some of our modular units, where we're doing a long-term refurb on the unit and we're not really adding any units to the fleet. And so think of a number, order of magnitude around $20 million in that CapEx guide, that is really extending the life of units we already own as opposed to adding units.
Dan Moore: Got it. That's helpful. Any color, Keith, kind of the cadence of growth in margins embedded in the 26 guide, starting with Q1, how do we see kind of revenue and EBITDA growth? And how do you see it progressing over the course of the year?
Keith E. Pratt: Yes. The way I would look at it is we're not assuming business conditions get any better anytime soon. So I would look at the first quarter as maybe be more comparable to how we started last year, second quarter, probably more of the same. And then second half of the year, by then, I think we're likely to be seeing more impact from deploying some of that new capital, particularly in some of the new modular markets. That's sort of how we characterize it at a very high level.
Dan Moore: Very good. See if I have one more. I guess just from a capital allocation perspective, obviously picked up the dividend. Balance sheet's in great shape. Maybe talk about the M&A pipeline for '26 and kind of strategic priorities from a capital allocation perspective this year?
Philip Hawkins: We continue to have an active M&A pipeline. We're consistently looking for opportunities, particularly in those geographic areas that we would like to enter. And the timing on those is always uncertain based on finding the right assets, right business in the right geography at the right valuation. It continues to be part of our financial allocation model and place that we spend a lot of time.
Operator: We'll move now to Steven Ramsey with Thompson Research Group.
Steven Ramsey: I extend my congratulations as well. When thinking about the geographic expansion, can you give a little bit more flavor on how the ingredients for how you go to market if it's Modular and Storage, how you're thinking about going to densely populated areas versus mega project-oriented areas? And then maybe lastly, in the areas with success how much is Modular Plus and SRS a factor or attaching to those wins?
Philip Hawkins: All right. The way I would think about geographic expansions. We are looking for metro areas and based on metros that states that are strong opportunities for both -- for our entire Modular Solutions platform, which would include modulars, portable storage and all the service offerings that you referenced in that. So when we enter a new market, our goal is to provide all those offerings. And then it always helps if there's some large mega projects in those markets that provide a nice anchor, but we believe that -- and we've demonstrated through entering the Pacific Northwest after Design Space, Midwest after Vesta that we can enter these markets, come in with quality people and processes and add CapEx and take share. We'll participate in growth that exists in that market. Maybe to add to your question on Mobile Modular Plus, I think you think about that being a small portion of the revenue on unit, it really becomes more impactful as you get more units on rent in that market, and you're seeing that flywheel build over time. So I wouldn't say that's a material needle mover early in the process.
Steven Ramsey: Okay. That's helpful. And then maybe to continue on SRS and modulars showing such great growth makes up $74 million or 16% of Modular segment rental revenue, do you expect the strong double-digit growth of those product lines to continue in 2026?
Philip Hawkins: I think we have -- we believe there's a nice long-term opportunity there. On the -- as penetrations increase on the Mobile Modular Plus side, we add more service to that offering. We think there's room to continue turning that flywheel and give lift. -- the site-related services side, that could be lumpier, right? Those are larger revenue items tied to specific projects, and those can -- a little bit like sales tend to be a little lumpier in the process. We believe we've got a runway to continue to grow those. I'd be careful about the trajectory that we make in there and how long that high growth that we see can continue.
Keith E. Pratt: Yes. Steven, one thing I'd point out is we've been doing this for a few years. So as we, if you will, anniversary some of the success of earlier MM Plus contracts, sometimes we'll have returning units, which actually bring the number down because they come back and they had MM Plus on the contract. And so simply replacing that with another contract that is MM Plus is necessary to hold the line. So Again, we've made a lot of progress. We think there's more opportunity. We've broadened the offering. Those are all good long-term drivers. But keep in mind, as we start rotating here, some of our earlier success has to be replaced.
Steven Ramsey: Okay. That's helpful perspective. And then last one for me, serving data centers with TRS. Can you talk about how much you can do to grow intentionally that product set? Or how much of it is following customers? And then with data centers being supportive of TRS growth can you put the data center vertical into some kind of context of size within total TRS revenue.
Philip Hawkins: Yes, I don't think we want to try to give a specific size of that related to TRS but I would characterize that word as following existing customers that are doing fiber connections or other communications type of testing and electrical testing into that data center space. So this is the work that we do every day across many different project types. There just happens to be a lot more of it in these data center projects.
Operator: We'll take our next question from Marc Riddick of Sidoti.
Marc Riddick: So first of all, I want to start, Joe, thank you so much. It's been a pleasure working with you over all these years and certainly wish you the best on your retirement. You've worked with us at Sidoti for many years, and it's certainly been a pleasure to do so with you and certainly looking forward to having a very positive retirement well. I know you're not completely going to do here but it's good for you and, it's been a pleasure. So full congratulations there.
Joseph Hanna: Thank you, Marc.
Marc Riddick: And Phil, we're certainly looking forward to working closer with you over time and certainly wish you're the best going forward. And really, really do appreciate all the color that you guys have already given on the call. One of the things I did sort of want to touch a little bit on the expansion. You touched on the organic pursuits on the expansion side and the geographic footprint side. Maybe you can touch a little bit on the potential of acquisitions. I guess there hasn't -- the pace of acquisition activity hasn't been what it was prior to everything at WillScot and the like. And maybe you could talk a little bit about what you're seeing out there valuations, appetite. Anything color-wise that you can give there would be appreciated.
Philip Hawkins: Maybe I'll start with reminded everyone that we did 2 small deals related to our geographic expansion efforts last year, one in portable storage and one on the modular side of the business. So those are examples of the type of opportunities and transactions that represent our pipeline and that we look for. I think a couple of things to think about are we don't determine the timing of those, the owners do. And so a lot of our pipeline are people that we keep in close contact with when they're ready to sell or their first call, but they may not be ready at a particular time that we're having conversations with them. And for ones that are ready, there's a process to go through diligence, evaluating fleets and making sure it's the right fit for us, and then the valuation starts have to align. So I think we are rigorous in that process. We don't feel compelled to do deals. We look for ones that make sense for us, again, based on the market the valuation and the timing of the opportunity. And so those are the 2 we found this year. We continue to be hopeful that there's more. It's not something that we bake into our earnings guidance or our plan.
Marc Riddick: Okay. Great. And then the one thing I sort of -- as a quick follow-up. As far as the timing of investments and timing of CapEx, is there anything we should be thinking about there as far as whether there's -- whether that would be concentrated to any particular part of the year? Or do you anticipate that sort of being sort of a consistent level as you go through 2026?
Keith E. Pratt: Yes, Marc, it's a good question. I would say, generally, it's likely to be front loaded. So the first couple of quarters, the spend is likely to be heavier because as you heard us describe in some of the earlier Q&A, one of our opportunities with the geographic expansion is building the revenue base particularly in the second half. So capital will generally be flowing earlier in the year. And then you're going to see that if all goes according to plan, showing up in the revenue streams, particularly in the second half.
Operator: Ladies and gentlemen, that appears to be the last question. Let me now turn the call back over to Mr. Hanna for any closing remarks.
Joseph Hanna: Thank you, Stephanie. Now Phil, how about if you finish the closing remarks.
Philip Hawkins: It would be my pleasure. On behalf of Joe and Keith and the entire team here at McGrath, I'd like to thank everyone for joining us on the call today and for your continuing interest in our company. We look forward to speaking with you again in late April to review our first quarter results.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for your participation. You may now disconnect.